Federico Donati: Good morning, everyone. I would like to welcome you to this webcast and conference call for the Iveco Group's First Quarter Financial Results for the period ending 31 March 2025. This call is being broadcast live on our website and is copyrighted by Iveco Group. I'm sure you appreciate that any other use, recording or transmission of any portion of this broadcast without the consent of Iveco Group is not allowed. Hosting today's call are Iveco Group CEO, Olof Persson; and our CFO, Anna Tanganelli. In their presentation, Olof and Anna will be using the material published on the Iveco Group website earlier this morning. Additionally, please note that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the safe harbor statement included in the presentation material. Additional information relating to factors that could cause actual results to differ materially is contained in the company's most recent annual report as well as other recent reports and filings with the authorities in the Netherlands and Italy. The company presentation may include certain non-IFRS financial measures. Additional information, including reconciliation to the most directly comparable IFRS financial measure is included in the presentation material. Finally, let me please remind you that the transfer of ownership of the firefighting business unit to listed private equity holding company, Mutares was closed and completed as planned on the 3rd of January 2025. One-off effects from the transaction are excluded from all the 2024 adjusted metrics. I will now turn the call over to our CEO, Olof.
Olof Persson: Thanks, Federico, and let me add my own note of welcome to all of you joining our call today. As expected, the business context of the first quarter was marked by a lower industry demand levels across European truck segments. As such, we acted fast to protect and reaffirm our business perspective and full year guidance. I'm proud of the organization's decisive response and long-term focus. We made the tough calls early. We adjusted production levels and realigned inventories both within the company and throughout our dealer network. We also completed the phaseout of previous generation models while completing the introduction of our new model year 2024 in light commercial vehicles. These actions had short-term impacts on financials, but they were absolutely necessary, putting us in a solid position for the rest of the year. Throughout the truck sector, we had to face market softness. Our European production was down 32% year-over-year, which also reflected our transition to the new vehicle generation and preparations for the ramp-up in demand that we expect later this year, coupled with progressive increased production. These actions affected margins and free cash flow, but they were embedded within the full year planning and aligned with our overall strategy. Order intake in Europe and Latin America was strong for both light and heavy duty. Our book-to-bill ratio was well above 1 in Europe for the first time since first quarter of 2023. This came together with our proactive steps to adjust our production capacity and realign dealer inventory. We are now increasing our production level and are well positioned to capture every future opportunity. Powertrain continued to operate in a tough market in general for both off- and on-road applications. Nevertheless, strict cost management and the execution of the group's efficiency program produce a leaner cost base and lower breakeven point, position the business for an agile response when the demand recovers. Bus and Defence segments continue to deliver strong results following their specific market cycles. They saw continuous margin improvements on a year-over-year basis, backed by solid order books and favorable industry momentum. What's equally important is that we didn't pause our forward momentum. We sealed 2 strategic partnerships in our truck business with Ford Otosan and Stellantis. In this second quarter, we have entered a joint venture to accelerate green mobility through GATE, and we secured a major contract with the Dutch Ministry of Defence. Finally, as you have already seen from the press release early this morning, following the detailed assessment announced on the 7th of February 2025, the Board of Directors decided to proceed with the separation of the Group's Defence business via spin-off. This is expected to take place within 2025, subject to final approval by the Board and the shareholders of Iveco Group and the required regulatory authorities. At the same time, Iveco Group has recently received preliminary expression of interest from potential strategic buyer for its Defence business. The Board has, therefore, mandated the management to continue the preparation for the spin-off while exploring such preliminary interest. In short, during the first quarter, we did what had to be done in a timely manner and with discipline. With strong order books, operational agility, a diversified business model and strategic partnership firmly in place, we laid strong foundations for future growth. Our full year guidance remains intact. Our liquidity position is solid, and we are confident that our actions in Q1 have laid the groundwork for a stronger second half and a successful year. If we then move to Slide 5, let's take a closer look at our truck business, summarizing the 2 partnerships we formed during the first quarter of 2025. On the 11th of March, we signed a binding agreement with Ford Otosan for the design and engineering of next-generation cabin for our heavy-duty trucks lineup. The joint development agreement is a contractual framework for co-development of a new heavy-duty truck cabin as well as common sourcing where applicable. Both companies will make and assemble the cabins at their own facilities, customizing specific styling design concepts and selling the products under their respective brands, Ford Trucks and Iveco. This solution enables compliance with the forthcoming EU Direct Vision Standard and will result in significant savings in investment providing us also with a competitive advantage in terms of total cost of ownership. The focus will be on cabin comfort, safety, aerodynamics and modularity and also on cost efficiency and the cabin will be prepared for all powertrains. Then on 14th of March, we entered into a partnership with Stellantis for the commercialization in Europe of the 2 Iveco-branded electric vans, of which a rendering is shown in the slide, which will be produced by Stellantis Pro One. This collaboration will make us the only company with a full lineup of electric vehicles in both the midsized and large van segments. The launch is scheduled for mid-2026, and the partnership is based on a 10-year agreement. These partnerships were not included in what we presented at our Capital Markets Day and will further solidify our position as a leader in the light-duty truck segment while improving our position in heavy-duty truck. Now with Slide 6, I'll explain more about the joint venture agreement between DLL and Iveco Group. GATE was conceived as an innovative business model with a primary goal of supporting the energy transition for our customer. GATE facilitates access to green mobility, providing rental solutions for vans and trucks that are tailored to customers' specific needs. The joint venture will continue to help customers build green fleets, strengthening activities that began in Italy in 2023 and that were extended to France and Germany in 2024. This strategic partnership is designed to boost the energy transition in Europe by amplifying access to low to zero emission commercial vehicles. Over time, the joint venture intends to offer similar solutions for low to zero emission vehicles for other brands beyond Vehicle. This new joint venture will provide GATE with the financial support it needs to accelerate its growth strategy and help it achieve its ambitious objectives more quickly. This is a significant advantage for Iveco Group as the funding will be supported by DLL, while the joint venture will manage the rental ecosystem. Moving then on to Slide 7. Let's take a look at the truck industry volumes and market shares. In the first quarter of 2025, European industry volumes experienced a decline versus the same period of last year. Light commercial vehicles were down by 13% versus last year and medium and heavy trucks saw a decrease of 17% compared to the same period in 2024. With regards to LCV, it ought to be mentioned that last year's performance was inflated by a prebuy effect, making the year-over-year decline more pronounced. Despite the overall decline in volumes, our LCV market shares in the first quarter of 2025 remained at a solid 12.1%. Within the Chassis Cab segment, we achieved almost 1/3 of the market share at 31.2%, up 1% versus last year, while at the upper end of the segment, our market share was 71.8%, up 7.5% versus the same period last year. Turning then to medium and heavy trucks. Our market share increased to 9.1% in the first quarter of 2025, up from 8.7% in Q1 2024. Within this category, our heavy truck market share rose to 8%, marking an improvement of 50 basis points year-over-year. These figures highlight our solid market shares, coupled with our disciplined pricing strategy, one that has been maintained even in the challenging market environment. Moving on to Slide 8. Our Truck segment has shown a solid growth in order intake across segments, confirming strong momentum for our model year '24 across all ranges with a book-to-bill ratio consistently above 1. In the first quarter of 2025, the European order intake for light-duty truck increased by 7% versus Q1 2024 and was up 22% sequentially. The book-to-bill ratio stood at 1.09, reflecting a 44 basis point improvement over last year. In South America, the order intake for light-duty trucks tripled compared to Q1 2024 with a book-to-bill ratio of 1.51, up 75 basis points year-over-year. For medium and heavy-duty trucks, the European order intake in the first quarter of 2025 rose by 33% compared to Q1 2024 with a book-to-bill ratio of 1.17, marking a 47 basis point increase year-over-year. This growth confirms the strong momentum for our model year 2024 range. In South America, the order intake for medium- and heavy-duty trucks more than doubled compared to Q1 in 2024 with a book-to-bill ratio at 1.38, up 30 basis points year-over-year. Then moving on to Slide 10, where you can see the main achievement of our bus business unit for Q1 2025. In France, 2 national procurement hubs cataloged 800 vehicle bus units, including Crossway, Evadys and Minibus models. This allows local authorities, municipalities and operators to leverage an alternative procurement modality authorized by the government for these vehicles. They can simply place an order through the one of these hubs, significantly streamlining their procurement process. On the 14th of April, The CROSSWAY Low Entry ELEC won the Busplaner Innovation Award 2025 in Germany in the Intercity category. This award is a further testament to our ability to innovate and our commitment to excellence in the bus industry. In addition, we achieved a 2% market share increase in the electric city bus subsegment versus the same period last year, continuing the upward trajectory in this pivotal subsegment. Let's move on to the next slide, #11, with the bus industry volumes and market shares. Our leadership in the Intercity segment in Europe was further boosted during the first quarter 2025, increasing by 4.9 percentage points compared to Q1 2024 to a very solid market share of 55.8%. This strong position was supported by the introduction of electric versions. In the European City bus segment, we maintained a solid 12.9% market share during Q1 2025. We anticipate an acceleration of deliveries in the second half of 2025, in line with the seasonality of tenders. Our growth in the electric city bus subsegment was particularly encouraging, registering 11.8% in market share at the end of Q1 2025. And in Q1 2025, Iveco Bus maintained its #2 position in the European market with a 21.8% market share. This reflects our ongoing efforts to enhance our market presence and deliver high-quality innovative products to our customers. Moving on to Slide 12. I'll focus on the strong book-to-bill ratio in our bus business, which proves significant visibility. In the first quarter of 2025, our bus order intake increased by 15% compared to Q1 2024, while deliveries remained largely flat. Our book-to-bill ratio was 1.41 at the end of Q1 2025, up 19 basis points year-over-year. This ratio is a key indicator of business health as it provides good visibility into our likely future revenue streams. We have increased the speed of execution of our order book, particularly for electric city buses by introducing a second shift at our Annonay plant as of April. This move allows us to meet the growing demand for sustainable transport solutions. Moving to Slide 14, we turn our attention to the main achievements of Powertrain business in Q1 2025. On the 24th of January, FPT Industrial's’ N67 natural gas engine powered the Sustainable Truck of the Year Award winner, the IVECO Eurocargo CNG. The N67 engine makes the Eurocargo CNG, the only truck in Europe to offer natural gas across the full range. It is compatible with both CNG and biomethane, the latter enabling additional emission reductions. On the 10th of February, we marked the entry of our ePowertrain portfolio into the marine sector with the launch of eBS 37 EVO modular battery pack. This product offers impressive energy density while at the same time, reducing battery weight. It can be installed to power both full electric and hybrid applications. And finally, on the 31st of March, our latest battery management system, the EB5 achieved the top level of industry ISO standard for certification designed entirely in-house. This battery management system is currently in volume production for the model year '24 IVECO eDaily as well as for a number of other customers' vehicles. These milestones underscore our commitment to innovation and sustainability driving us forward in the Powertrain business. Moving to Slide 15. The continued slowdown in demand driven by lower total industry volumes and ongoing customer destocking actions has had a stronger impact in off-road segments. Engine volumes were down 22% in the first quarter compared to Q1 2024, reflecting the challenging industry environment. However, the execution of our efficiency program and additional cost containment have enabled us to adapt production to market demand and thereby strengthening our resilience. Powertrain's new leaner cost structure will also position the business unit well to capture expected market recovery we'll see in the upcoming quarters. Moving to Slide 17. Let's look at the Q1 development with our Defence business unit. On the 31st of March, we signed a strategic alliance between Iveco Defence Vehicles and METLEN, a Greek Mining and Metal specialist formalized through a memorandum of understanding. This collaboration aims to modernize the Hellenic Army's military truck fleet, including renewing the existing fleet of protected and unprotected military trucks for the 3 Hellenic Armed Forces branches. This partnership reinforces IDV's position as leading European manufacturer of military trucks and combat vehicles and METLEN's expertise in complex metal constructions and high-tech defence programs. Also in Europe, IDV was awarded a tender by the Dutch Ministry of Defence for the supply and logistics support of 785 military logistic vehicles. The deal was finalized this month, and the vehicles will be delivered between 2027 and 2029. The 785 military trucks will be delivered in 3 versions, semi-trailer tractor [Audio Gap] logistic commonality across different platforms and among many other EU member states. The award includes an option for an additional 785 vehicles and integrated logistics support over a minimum period of 15 years. This new award reaffirms the strong partnership between IDV and the Dutch Ministry of Defence following the contract for the supply of 1,283 multi-core multi-role tactical vehicles with deliveries started in late 2023. On Slide 18, we highlight the solid foundation of our defence business. In the current environment, we are ramping up production to benefit from industrial efficiencies. With a rearmed Europe plan, several governments are considering the possibility of boosting existing programs with additional funds to avoid the delay that opening new processes would involve. Our long-term strategy focused on strong internationalization and fostering client loyalty through sizable multiyear contracts. This approach not only lowers risk and provides long-term revenue reassurance, it also offers the prospect of capturing the upside of any increase in defence spending. Next slide is for the communication made this morning about defence. And following the detailed assessment announced on the 7th of February 2025, the Board of Directors decided to proceed with the separation of the group's Defence business via spin-off. This is expected to take place within 2025, subject to final approval by the Board and the shareholders of Iveco Group and the required regulatory authorities. At the same time, Iveco Group has recently received preliminary expressions of interest from potential strategic buyers for its defence business. The Board has, therefore, mandated the management to continue the preparation for the spin-off while exploring such preliminary interest. Slide 21 takes us to the electric vehicle portfolio quarterly performance. The eLCV segment has maintained a good level of performance despite softening in market demand. The eBus segment boasts a strong order book, which is now full up to the second quarter of 2026. We aim to address this with ramping up of deliveries in the forthcoming quarters. We saw a slight slowdown in the eAxle and battery segment, primarily due to market demand. Our extensive electrical product portfolio and in-house expertise put us in a unique position to be able to deliver a wide range of propulsion solutions to meet our customers' needs. With that, I will hand the call over to Anna.
Anna Tanganelli: Thank you, Olof. Good morning, everyone. Let's now take a look at the highlights of our first quarter 2025 financial results on Slide 23. Q1 2025 closed with consolidated net revenues slightly in excess of EUR 3 billion and net revenues of Industrial Activities of EUR 2.96 billion, both contracting by approximately 10% year-over-year, mainly due to lower volumes in Europe for truck and powertrain and the negative FX translation effect mainly in Brazil, only partially offset by a positive year-over-year price realization. Financial Services net revenues totaled EUR 114 million in the first quarter, down 21.4% compared to prior year. Group consolidated adjusted EBIT closed at EUR 152 million with a 5% margin and the adjusted EBIT of Industrial Activities closed at EUR 117 million with a 4% margin, both contracting versus Q1 2024. Net financial expenses amounted to EUR 39 million in this quarter compared to EUR 21 million in Q1 2024, which had been positively affected by hyperinflation accounting impact in Argentina. Please note that in order to minimize going forward, the volatility of our results in the country in consequence of the specific accounting principle, we have decided to establish starting from 1st of January 2025, the U.S. dollar as functional currency also for our local trucks legal entity, previously reporting in Argentinian pesos. As a result, from this quarter onwards, hyperinflation accounting will no longer be applicable in Argentina. Reported income tax expenses were EUR 12 million in Q1 2025 with an adjusted effective tax rate of 26% resulting in a consolidated adjusted net income of EUR 84 million with an adjusted diluted EPS of EUR 0.31. The adjusted net income attributable to Iveco Group closed in line with the consolidated figure, both down EUR 72 million versus last year. Moving to our free cash flow performance in the quarter. Q1 2025 closed with a EUR 794 million cash flow absorption, mainly driven by the impact of lower year-over-year sales volumes, which stressed our usual working capital seasonality. Finally, available liquidity, including undrawn committed credit lines, remained solid at EUR 4.7 billion on the 31st of March, including EUR 1.9 billion of undrawn committed facilities. Let's now focus on net revenues of Industrial Activities on Slide 24. As you can see from the chart on the right-hand side of this slide, all regions contracted compared to prior year, excluding South America, which was up 32%, confirming this region's positive exit speed from 2024 into 2025. Looking at our net revenue evolution by business unit, Bus and Defence were solidly up versus prior year at around plus 15% and plus 31%, respectively, while truck and powertrain contracted versus Q1 2024 by minus 16% and minus 19%, respectively. More in detail, truck net revenues totaled just short of EUR 2 billion in this quarter as a result of the largely expected volumes contraction in Europe in the first months of 2025 and despite the continuously positive price realization in the region, however, fully offset by an adverse year-over-year foreign exchange rate trend in Brazil. Bus net revenues were up, as said, almost 16% in Q1 2025, reaching EUR 478 million, thanks to higher volumes, a better mix resulting from the continuous ramp-up of electric vehicles production and deliveries and a positive pricing. Net revenues of Defence continued to grow substantially in the period, posting a plus 31% versus prior year and reaching EUR 278 million, driven by higher volumes and a positive product mix effect. Finally, Powertrain net revenues were down 19% year-over-year to EUR 784 million, mainly as a result of the continuously challenging off-road industry performance with sales to external customers accounting for 42% in this quarter. Turning to Slide 25. I'll now briefly comment on the main drivers underlying the year-over-year performance in our adjusted EBIT margin of Industrial Activities. Volume and mix contributed negatively for EUR 117 million in the period, mainly driven, as said, by lower volumes in Europe for our truck and Powertrain business units with lower deliveries of light-duty trucks further negatively affecting the overall truck profitability. As previously mentioned by Olof, almost 1/3 of the total negative volume and mix impact in this quarter resulted from a less efficient fixed cost absorption as a consequence of significant lower production levels compared to prior year, particularly in truck. Net pricing, on the other hand, continued to be positive, confirming our strong commitment to maintaining a diligent pricing discipline also in this market environment. Finally, the year-over-year improvement in SG&A costs of EUR 19 million shows the effectiveness of the implementation of the efficiency actions announced by Olof during our full year 2024 earnings call. Let's now take a look at each industrial business unit adjusted EBIT margin performance in the quarter on Slide 26. Truck closed with a 3% adjusted EBIT margin as a result, as said, of the largely expected volume contraction in Europe, combined with a negative mix linked to lower light-duty truck deliveries, only partially compensated by solid cost containment actions. Pricing in Europe remained positive in the period, net of the marketing activities required to support the now completed full introduction in the market of the model year 2024 product range. Bus Q1 2025 adjusted EBIT margin closed at 5.4%, up 30 basis points versus prior year, thanks to higher volumes, a better mix resulting from the continuous ramp-up of electric vehicle production and deliveries and a positive pricing. Defence adjusted EBIT margin posted a 260 basis point uplift versus prior year, reaching almost 13% through higher volumes and the positive aftermarket contribution. Finally, Powertrain adjusted EBIT margin closed at 5.5% in this first quarter, down 70 basis points compared to prior year due to the severe volume drop in the period, partially compensated by continued cost management actions -- cost containment actions. Let's now have a look at the performance of our Financial Services business unit during the quarter on Slide 27. Q1 2025 adjusted EBIT closed at EUR 35 million with a managed portfolio, including unconsolidated JVs of EUR 7.9 billion at the end of the period, of which retail accounted for 43% and wholesale 57%, substantially flat compared to 31st of March 2024. Important to be highlighted here is that the slight increase of 20 basis points in stock of receivables past due by more than 30 days as a percentage of the overall on-book portfolio was entirely a result of a lower wholesale portfolio. Return on assets remained solid at 2.1%. Moving to our free cash flow and net industrial cash evolution on Slide 28. First of all, as you have probably already seen in the press release, starting from this quarter, we have decided to further improve and simplify the representation of our free cash flow buildup. I sincerely hope you will appreciate this revised more self-explanatory breakdown. In any case, Federico and our Investor Relations team are always available to provide you with a reconciliation versus the previous representation in case needed. Q1 2025 free cash flow absorption was EUR 794 million, largely as a result of lower year-over-year production and sales volumes, which further stressed our usual working capital seasonality. Adjusted EBITDA also contracted versus prior year by EUR 56 million, while financial charges and taxes contributed positively in the period for EUR 23 million. Investments totaled EUR 129 million in Q1 2025, substantially in line with last year. Moving now to my last slide for today, Page 29. Our available liquidity as of 31st of March 2025 stood solidly at EUR 4.7 billion, with EUR 2.8 billion in cash and cash equivalents and EUR 1.9 billion of undrawn committed facilities. Looking at our debt maturity profile, the majority of our debt will be maturing from 2027 onwards and our cash and cash equivalent levels, which totaled EUR 2.5 billion as of 31st of March 2025, continue to more than cover all the cash maturities foreseen in the coming quarters -- years, sorry. Thank you. I will now turn the call back to Olof for his final remarks.
Olof Persson: Thank you very much, Anna. Let's conclude this presentation by looking at both the outlook for the industry and our own financial guidance. I will also provide some key takeaway messages from what you have heard today. In terms of total industry outlook for the current year, we are reaffirming the preliminary industry outlook that we provided back in February. For light-duty truck, we are forecasting an industry that ranges between flat to down 5% versus full year 2024. And with our current visibility, we anticipate it to be skewed more to the lower end of the range. For medium-duty truck, we expect to be slightly down at about 30,000 units and for heavy-duty truck between 280,000 and 290,000 units. In South America, we expect the industry to grow by 10% in light-duty truck and to be up 5% in medium and heavy-duty truck. In the rest of the world, both subsegments are forecasted to be flat to slightly down. And finally, we expect demand for buses to remain flat across the regions. The next slide has our full year 2025 financial guidance, which, as per our previous guidance, does not reflect any impact from the potential spin-off we announced for our Defence business. Our full year 2025 preliminary financial guidance is based on the current industry outlook and our solid order backlogs, together with consistent pricing discipline and a strong focus on cost management. As a result, we are confirming at the consolidated level, group adjusted EBIT at between EUR 980 million and EUR 1,030 million. And for the Industrial Activities, net revenues, including currency effects, to be flat year-over-year, adjusted EBIT from Industrial Activities at between EUR 850 million and EUR 900 million and industrial free cash flow to be between EUR 400 million and EUR 450 million. We will continue to sensibly manage cost and our production capacity for trucks in Europe, a market which we expect to progressively increase on a year-over-year basis in the coming quarters. And now on Slide 33, let me provide the usual takeaway messages from today's earnings call. First, in this quarter, we reset our manufacturing activities and inventories and completed the light commercial vehicle phase-out, phase-in of model year 2024 throughout our dealer network. This placed the company at the right level and position us well for an expected increase in demand during the second half of the year. Secondly, with the effort we made in the first quarter, combined with what's already accomplished in the latter part of last year, we feel comfortable that both our powertrain and truck business units are well positioned to leverage on an expected market recovery that we believe will begin during the second half of the year, coupled with a progressive increase in production levels. We also project that our Bus and Defence business will continue to keep the momentum. Thirdly, we will continue boosting Iveco Group's product position, maintaining our focus on excellence in quality and also strengthening our brand position. Fourth, we are proceeding at pace with the acceleration of our efficiency program and re-prioritization of some of our investments, and we fully confirm the expected EUR 150 million in comprehensive savings, CapEx and OpEx for the current year. In conclusion, we will continue to forge new strategic partnerships to strengthen our future. Iveco Group's partnership strategy has been and will continue to be pivotal for the continued achievement of our long-term ambitions. The partnership recently signed by our truck business unit with Stellantis Pro One will offer a unique electric vehicle product lineup, covering the entire light-duty truck segment between 2.5 and 7.49 tonnes. And the partnership with Ford Otosan to design and engineer the next generation of cabins for heavy-duty trucks will result not only in significant savings in investment, but will also produce a new top line modular cabin family with state-of-the-art technology far superior to the cabins previously planned. The agreement signed between GATE and DLL is a pivotal milestone in our strategy that will enable GATE to move more efficiently and faster in helping customers gain access to green mobility. Under DLL Guardianship, the service will be reinforced and expanded in key European markets. Finally, the contract awarded to our Defence business unit by the Dutch Ministry of Defence further strengthen an already solid order book and underpins the foundations for years to come. Before opening up for questions, I'd like to conclude by saying that the first quarter of 2025, we achieved a number of accomplishments, preparing us for the remaining part of the year. And rest assured that we will continue to remain focused on our priorities and our commitment to always go beyond. Thank you.
Federico Donati: That concludes our prepared remarks, and we can now open it up for questions. To be mindful of the time, we kindly ask that you hold off on any detailed modeling and accounting question on which you can follow up directly with me and the Investor Relations team after the call. Tatya, please go ahead.
Operator: [Operator Instructions] The first questions come from the line of Daniela Costa from Goldman Sachs.
Daniela Costa: I want to touch on 3 topics, but the questions are fairly quick. The first topic is just on -- now that you're basically done with the model transition and the phasing out of the old models, can you maybe clarify how much has been the headwind from that in the quarter? And shall we see sort of a recovery from that pretty quickly on? That's the first one. Second one was just can you give us the backlog in defence where it stands right now and just an update on that. And then the third question, you mentioned that you're looking in parallel at the spin and some of the preliminary interest that you have got. If eventually we were to end up with a sale, how should we think about what you would do with the proceeds from that? What are the priorities for capital allocation post such an event?
Olof Persson: Okay. Thank you. I think when it comes to the model year '24 and the introduction, as you know, we concluded that in the heavy-duty segment basically by end of last year, and we were clearly sort of communicating to you and to the market that we still had some job done during Q1 in the light duty. Now this is done. We did this time. And we did it in a rather sort of contracting market situation, which meant that we had to do both the sort of transformation or transfer of the model year '22 and '24, at the same time, making sure we're managing the inventory and our own inventories. That is done now. It's behind us. We're having a good level of inventory, both by sort of internally and by the dealers, and we are now prepared to go ahead. So that is behind us. On the model year '24, just as I think was mentioned by Anna as well on the pricing and the pricing discipline, we have been through the -- this rather challenging market conditions, very disciplined in the market. We have, and I have said that a number of times during the Q4 and Q1, a number of marketing activities in order to make sure that we get the vehicles out. That is also behind us now. So basically, we are sort of have gone through that transformation with the model year '24 totally now. And now it's just a matter of continue to develop this, which we believe is a very, very good product into the market going forward.
Anna Tanganelli: Daniela, it's Anna here. So on the -- I think the second question, if I got correctly, was the defence backlog, right?
Daniela Costa: Exactly.
Anna Tanganelli: Yes. So it's right now -- well, let's say, right now, as of end of 2024, it was well above EUR 4 billion, and we have a target to further increase that backlog going into 2025.
Daniela Costa: Got it. Sorry, on the model year, you have also commented that production increase from here year-on-year. Have you said how much is the production increase year-on-year and quarter-on-quarter perhaps now that you're fully done with the launch?
Olof Persson: No. So basically, what we have said, and we do that all the time, we are very, very conscious about the production speed in order to meet the market requirements. And sequentially, we are now increasing the speed coming from the Q1 into Q2. And then we have the visibility we have in terms of order backlog -- order intake, order backlog and interest out of the market. So we will adapt the production going forward. But as we said, I mean, our view into the second half of the year is that we're going to see a sequential pickup of the market.
Anna Tanganelli: And then lastly, on the defence, let's say, processes. So as you have seen in the press release, right now as a result of the assessment we launched in February of this year, the Board has now formally decided to proceed with the separation of Defence via spin. So what we will now do is to proceed with all activities required to progress this process, including the finalization of all financial, legal, tax and social aspects. Then obviously, recently, we do have received several preliminary expressions of interest from various strategic players. As you can understand, Daniela, we cannot disclose values nor any other information in relation to this proposal at this point. So once we have progressed on, say, both activities, we will obviously promptly inform you, including any potential impact on say, our financials and eventually on the related proceeds and use of those proceeds.
Operator: We are now going to proceed with the next question. And the questions come from the line of Monica Bosio from Intesa Sanpaolo.
Monica Bosio: The first one is the under trend in the heavy duty in Europe. The market share gains is encouraging. And should we expect over the next month a further gain in market share? Or do you see as more likely a consolidation of the 9% share for the full year? That's my first question. The second one is still on the heavy duty. I remind that at the end of 2024, Anna said that the margins for the heavy duty were in the low single-digit area. Can you give us any indication for the first quarter? And then my last question is on the defence business. If I'm not wrong, the value of the contract with the Dutch government has not been announced, but I'm expecting something in the region of EUR 400 million. Am I right? Just a flavor from you? And should we expect for this contract margins in line with the division or maybe something better given that there is also the maintenance operations within?
Olof Persson: Thank you. On the market share heavy-duty in Europe, we are, of course, pleased to see that we are gaining market shares coming now with the model year '24 and the acceptance of the vehicle by our customer, both in terms of the fuel efficiency, the TCO, the drivability, the comfort and all that. Now going forward, market shares are very tricky. We are, I mean, fully committed. We have a product that we believe is up there with the absolute best. We have a good pricing discipline. We are pushing forward with all the different sales activity. What that will result in terms of market share, we will see. But rest assured that, I mean, we feel very comfortable and comfortable with actually now pushing forward since we have done the introduction. So good work there, I think, and looking forward to see how this develop in the forward. I leave the second question to you, Anna.
Anna Tanganelli: Yes. So on heavy-duty profitability, it's still also in Q1 around the low single-digit arena, I would say, Monica, there. So I would say, in line with what I told you end of last year. On the IDV contract, well, we cannot comment, unfortunately, anything more than what it was in the press release, so I cannot help you on that. I'm sorry about that.
Monica Bosio: Okay. I understand. Okay. Just a follow-up on the efficiency measures. I can imagine that the first quarter is not yet factoring in any efficiency measures. And when should we expect a more visible impact on -- from your EUR 150 million program for this year?
Anna Tanganelli: Actually, it is. Then obviously, as we said also when we announced it, it was more back-ended. So you will see then gradually this implementation progress in the coming quarters. But let's say, the first actions are already there because we obviously implemented them starting from beginning of the year. And we are absolutely very well on track on this implementation, and we are very happy with how it's proceeding. So definitely, we'll see more coming in the next quarters, but something is already there.
Operator: We are now going to proceed with our next question. And the questions come from the line of Miguel Borrega from BNP Paribas Exane. I think that question has been withdrawn. We are now going to proceed with our next question. The next questions come from the line of Nicolai Kempf from Deutsche Bank.
Nicolai Kempf: It's Nicolai from Deutsche Bank. Two, if I may. The first one would be on your guidance, which looks very back-end loaded as of now. Given that book-to-bill is back above 1 for almost all segments, would you see that Q2 will already be a material improvement? And my second one, could you just highlight the length of your order book for light commercial vehicles currently?
Anna Tanganelli: Yes. So on the guidance, as we said when we gave you the guidance, Nicolai, by the way, in the beginning of the year, we -- sorry. I thought the line was broken up. Can you hear me well, Nicolai?
Nicolai Kempf: Yes, I can still hear you.
Anna Tanganelli: Sorry. No, as I was saying, when we gave the guidance beginning of the year, we said, obviously, we were expecting, I would say, more softer H1 and then a stronger H2, which is exactly the reverse of what occurred in 2024. So I wouldn't say a material improvement in Q2, but I would say gradual improvement in [Technical Difficulty] would be definitely a stronger semester than the first half versus last year. In terms -- please, Olof, in terms of the order book.
Olof Persson: Yes. Anna. And if I understand the question, it was the LCV you're talking about, light commercial vehicle?
Nicolai Kempf: Yes, yes.
Olof Persson: So we're talking around 7 weeks at the end of March was the order book that we have gave us pretty good visibility.
Operator: We are now going to proceed with our next question. And the questions come from the line of Miguel Borrega from BNP Paribas Exane.
Miguel Borrega: I've got 3, and I'll ask one at a time. So first on LCV, orders are now beginning to inflect. How fast will that translate -- will be translated into growth of deliveries? I'm wondering because obviously, you need a higher margin over the next 9 months relative to last year to meet the full year guidance. And it seems that the growth mix will still be geared towards medium and heavy duty because orders have begun to inflect faster. So your margin will still be dragged overall in trucks. So how do you think the mix will evolve throughout the year and the light-duty versus medium-duty mix?
Olof Persson: Well, I mean, without going into too much of the details, I mean, when we do and we do confirm our guidance, of course, the mix situation and the market situation is an integrated and very important part of that when we confirm the guidance and thereby also looking at the mix in terms of profitability. And it's not only the heavy-duty LCV, it's also the mix within the regions. It's the mix within the customer segments. So it is a pretty sort of delicate and rather detailed analysis you have to do to get it altogether. So that's sort of the overall -- but as I said, I mean, we are looking as a guidance for the light commercial vehicles. We start to see sequential, the order intake is picking up, right? We start to see also that small rental fleet coming back to the market. And we have to remember that we have had a prebuy effect from Q1 and Q2 last year now going on for almost a year. And that means that over time here, of course, the market will come back into buying new vehicles again, having sort of been a little bit on the low side for a couple of quarters. So that is what we see and then the mix that we see forward is confirming our guidance.
Miguel Borrega: And then on the European market share in LCV, 12% this quarter. I understand the loss of share the last couple of quarters because of the washout of the previous model year. But where is the ambition? Is it to recover back to 14%? Or is there a higher number that you look to achieve?
Olof Persson: Well, let's put it this way. I mean we are -- on the heavy segment, as you can see, I mean, we're very well represented there. And I think we just need to really confirm and making sure that we stay where we are on that one. On the panel van side, but also the cabover on the lower segment, I think with the model year '24 improvements that we have done and the new functionality, drivability, et cetera, et cetera, I definitely think that we have a good opportunity to come in and sort of get market shares, right? So that is what we want to do. Exactly to say how that will pan out as with the previous question on the heavy-duty side, I think we have a good position to do that. We have a very, very strong market, and we need to continue to do that. If it's going to be 14% or whatever, I don't want to give guidance on that. But I feel very comfortable in the product lineup we have, not only in the LCV and the heavy duty. It's been an enormous work by the organization to get where we are. A lot of money spent, a lot of marketing being done. And now we're there. And now it is the time to start to reap the effect of it. And we're going to do that step-by-step over the coming quarters and the coming years.
Miguel Borrega: And then lastly, I wanted to understand the medium and heavy-duty profitability overall. You said slightly profitable. But how do margins in Latin America compared to Europe? I ask because if I look at your order intake over the last 12 months, the number of units are not too different between LatAm and Europe. So just wondering how that has impacted your margins in medium and heavy-duty overall.
Anna Tanganelli: So the medium and heavy-duty profitability, as we said several times, has been low single digit. And I think we said that repeatedly also in Q1, we are not much far from that, I would say, area. In terms of profitability between Europe and Latin America, first of all, we don't provide this kind of detail, but I wouldn't speculate on the major differences between the 2 regions, to be honest.
Operator: We are now going to proceed with our next question. And the questions come from the line of Akshat Kacker from JPMorgan.
Akshat Kacker: I have 3 questions, please. The first one on tariffs. Could you talk about the impact on the business, if it has impacted you in any way in terms of production costs or supply chain disruptions? And going forward, if you expect any indirect impact on the FPT business from the engines that you export out of Europe into the U.S., please? The second question is on Powertrain. You've talked about an upcoming market recovery. Could you just give us more insights on the volume offtake trends that you're seeing from your off-road customers specifically and whether you expect volume here to turn positive for the rest of the year? And the last one is again on powertrain. Is it possible for you to give us some more details in terms of the P&L contribution of ePowertrain products to this business, probably in terms of revenues and profit contribution? And what are the annual level of investments that are going towards this part, please?
Olof Persson: So let me start with the last one, and we work ourselves backwards, if that's okay. When it comes to the -- as you can see on the volumes here, right, they are increasing, but they are still very small volumes. And I see the whole electrification product portfolio as an investment for the future. So basically, we're now positioned, I would say, from a technology performance point of view, making sure that we have a very competitive and good setup in order to take care of the volumes that we believe will come over the next years. I mean we see it in city buses already. There is a trend definitely that's going to come in the van and the lower end of it. And -- but the profit contribution, I see it more, to be honest, right now as being an investment for the future. And I'm really proud where we sit because we have all the strengths of the [indiscernible] to play, both on the axle side, on the battery pack side and, of course, also on the total vehicle side, including, as I was saying before, with an in-house battery management system. So we can really provide that when the market picks up. But right now, it's small markets. It's something that we do more of an investment. And I don't think we separate how much investment we are putting in there. But we're doing that very efficiently as we do with all our investments. The first one on the tariffs, I can say that it is small, very small impacts from the tariffs with the situation that we do have. So not even.
Anna Tanganelli: No, I wouldn't say material.
Olof Persson: Not material.
Anna Tanganelli: Only as of today then...
Olof Persson: As of today, we cannot talk about the future in that respect as of today. And then you talked about the uptake in orders coming then on the off-road. I mean this is something we are, of course, discussing with our external customers to see how this will develop over the years, and that basically lays the ground for the forecast and the progression of the improved sort of increased volumes. We should remember that the powertrain business has been suppressed or should I say, really down for quite some quarters now with big year-over-year declines, so also in this quarter. So at some point in time, the destocking comes to an end. At some point in time, we start to see the volumes coming up. And again, we are well positioned with all the breadth of the external customers that we have. And of course, also plus our own Iveco growth planned for coming into the second half of the year.
Operator: We are now going to take one final question. And the last questions come from the line of Martino De Ambroggi from Equita.
Martino De Ambroggi: The first is on the defence. Just to have an idea, I don't know if you are willing to provide it, but what is the portion of free cash flow attributable to the defence for this year? Or if not for this year, just to have a rough idea, what is the free cash flow normalized, what was in the past few years? And the second is on the spin-off or divestiture. So what will you drive your decision? Is it just a matter of valuation? Are you considering to stay with a minority stake in case of divestiture? I don't know if you can elaborate on this.
Anna Tanganelli: Martino, I will try to -- I'm not sure if you will be satisfied by the answer, but I'll try to answer. So on the free cash flow breakdown by business unit, as you can understand, we cannot share the defence cash flow contribution, not because we don't want to share the defence one specifically, but because otherwise, the next question will be what about the others. And we, as you know, are disclosing profitability and revenues. But right now, we are not disclosing cash flow. So we will have to be patient on this. Similarly, on the second one, so the Board this morning approved the separation of the Defence via spin. So we will progress on that stream. And still, we have to continue with all the activities for this process. As I said earlier also to Daniela, we have to finalize the financial aspects. Then obviously, in parallel, since we -- as we said also earlier, we did receive preliminary expressions of interest from various strategic players. We obviously want and need to pursue those. Again, we cannot disclose neither names nor values at this point. So it's difficult to give you an answer -- a precise answer to your question right now. But as I said, we will definitely inform you and keep you updated in case of developments as soon as we are ready to do that.
Martino De Ambroggi: Okay, Anna. And the follow-up is on the -- for all of, I suppose, once the military business is spun off or divested, would you be happy to find a business combination for Iveco?
Olof Persson: The issue, we are focusing on what the Board gave us the task to do now looking and preparing for the spin-off at the same time, investigating and looking at the preliminary interest we have received, and that is the full focus now. And that what -- going forward, nobody knows. We are fully focused on our business, what we want to do now, and that's basically all I can say on that question.
Martino De Ambroggi: Okay. Thank you.
Olof Persson: Thank you.
Anna Tanganelli: Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the call back to Federico Donati for any additional or closing remarks.
Federico Donati: Thank you very much, everyone, connected, and have a nice day. Thank you.
Olof Persson: Thank you.
Anna Tanganelli: Thank you.